Operator: Welcome to MasTec's First Quarter 2016 Earnings Conference Call initially broadcast on May 6, 2016. Let me remind all the participants that today's call is being recorded. At this time, I'd like to turn the call over to Marc Lewis, MasTec's Vice President of Investor Relations. Marc, please go ahead.
J. Marc Lewis - Vice President-Investor Relations: Thanks, David. Good morning, everyone. Welcome to MasTec's first quarter 2016 first quarter conference call. The following statement is made pursuant to the Safe Harbor for forward-looking statements in the Private Securities Litigation Reform Act of 1995. In these communications, we may make certain statements that are forward-looking statements, such as statements regarding MasTec's future results, plans and anticipated trends in the industries where we operate. These forward-looking statements reflect the company's expectations on the day of the initial broadcast of this call and the company undertakes no obligation to update these expectations based on subsequent events or knowledge. Various risks, uncertainties and assumptions are detailed in our press releases and filings with the SEC. Should one or more of these risk or uncertainties materialize or should any of our underlying assumptions prove incorrect, actual results may differ significantly from results expressed or implied in these communications. In today's remarks by management we will be discussing adjusted financial metrics as discussed and reconciled in yesterday's press release and supporting schedules. In addition, we may use certain non-GAAP financial measures in this conference call. A reconciliation of any non-GAAP financial measure not reconciled in these comments to the most comparable GAAP measure can be found in our earnings press release, or in the Investor Relations section of our website located at mastec.com. With us today we have José Mas, our Chief Executive Officer; and George Pita, our EVP and Chief Financial Officer. The format of the call will be opening remarks and analysis by José followed by a financial review from George. These discussions will be followed by a Q&A period, and we expect the call to last about 60 minutes. I'll now turn the call over to José. José?
José Ramón Mas - President, Chief Executive Officer & Director: Thanks, Marc. Good morning and welcome to MasTec's 2016 first quarter call. Today I will be reviewing our first quarter results as well as providing my outlook for the markets we serve. Before getting started, I'd like to make some general comments around where the company stands today. We're currently on the cusp of seeing what we believe will be a dramatic improvement in our business. These expected improvements will be led by a significant ramp in long-term sustainable revenue in a number of our segments. The increased volume with the corresponding improvement in utilization should significantly improve our financial results over the coming quarters. While we're bullish on our long-term outlook, we're cognizant that we continue to have challenges in areas where we need to improve. While our first quarter financials were generally in line with expectations, quite frankly they should have been a lot better. We experienced considerable weakness in two areas of our business. Our Canadian business underperformed relative to our expectations and that was primarily driven by one project where we incurred significant losses due to early breakup that required us to double resources to meet schedule commitments to our customers. We also continued to underperform in our Electrical Transmission business. While as we were expecting, areas of the business showed improvement, we had continued significant fade on one project. We missed our productivity expectations, causing a large increase to future anticipated costs. Our main priority today in our Electric Transmission business is completing this project which is approximately 85% complete and completing it within our most current financial estimates. While we're frustrated with our current performance, we're confident that we have taken the appropriate action and we expect to see improved performance in these two areas of our business. We provide this level of detail not to make excuses, but rather to provide a clearer picture of where the company currently stands. We have a long proven track record of performing well in the markets we serve. We have excellent customer relationships and a solid reputation in all of our markets. What we have seen over the course of the last two years is that in difficult markets, like the ones we've experienced in Canada and Transmission, execution, project risk assumptions and unforeseen circumstances on jobs can have a dramatic financial impact. For example, customers are more difficult when it comes to pricing and contract terms and we have less leverage to negotiate. I say all this to point out that we will be taking a more cautious stance to help limit our exposure in difficult markets. We will continue to have a presence in these markets and will grow the business as conditions improve and limit our exposure while the market is weak. Aside from those areas of weakness, the business performed very well in the first quarter. We experienced strong year-over-year growth in our Communications business, a trend which we expand to accelerate. And if you backed out our results in Canada, our Oil and Gas segment enjoyed 35% year-over-year revenue growth and EBITDA margins in the mid-teens. We highlight these two areas because these businesses are where we expect the majority of our revenue growth in 2016. We anticipated a very slow start to 2016 with a significant ramp as the year progresses. And our visibility into that ramp continues to improve along with our longer-term outlook into 2017. Now, I'd like to cover some industry specifics. Our Communications revenue for the quarter was $512 million versus $470 million last year. The increase in revenue was driven by strong increases in our wireline and installation businesses and as expected a decrease in our wireless business on a year-over-year basis. In our install-to-the-home market, revenues were up 25% year-over-year. Demand for our installation services is strong. We have seen increased demand related to the DIRECTV-AT&T merger and have continued to grow and diversify our business. We're beginning to see the fruits of how we've leveraged, what we believe to be the largest third-party independent fulfillment company in the United States with broad geographic coverage. We're now working with four additional customers on pilot programs that could build into solid long-term opportunities. There is strong demand for a customer-touching workforce to help differentiate product offerings and we believe we're well-positioned to fill this demand in the marketplace. Wireline revenues for the quarter were up 31% year-over-year and we continue to see strong demand in everything from electric distribution to fiber rollout and expansion. Gigabit revenues and opportunities continue to expand. We continue to ramp in the 11 states in which we have now secured gigabit contracts and we expect continued growth. Our wireless business, as expected, was down year-over-year. Last year's first quarter was our highest revenue quarter for the year. This year, we expect the first quarter to be the lowest in 2016, more reflective of our historical trends. Our revenue visibility is strong and we expect double-digit full-year growth in our wireless business compared to 2015. We are bullish on the long-term opportunities the wireless market affords us. Data usage and demand is expected to continue to grow at exponential levels, requiring our customers to increase their network's capacities. We're also encouraged about carrier's initiatives to bring wireless broadband to rural America. This includes technologies such as wireless local loop, which should have a very positive impact on our business. We're also seeing the first investments in 5G technology. While very early in the cycle, there is no question that wireless carriers understand the need and importance for increasing data speeds. With these significant investment and advancements being made in wireline internet speeds, it is only a matter of time before customers demand and carriers replicate those speeds in the wireless environment. Moving to our Power Generation and Industrial segment, revenue was $81 million for the first quarter versus $84 million in the prior year. We're off to a good start and we look forward to building on what was a much improved year in 2015. There are a significant number of opportunities for 2016 and beyond, and we are well-positioned to benefit from the growing market. Revenue in our Electrical Transmission business was $86 million versus $116 million in last year's first quarter. We continue to underperform in this business relative to our expectations. We were expecting improvements over fourth quarter earnings, but as I mentioned earlier, we experienced significant continued fade on one large project. Our primary focus today is on getting this business back to a profitable level. We have taken significant steps at right-sizing this business, and as announced in our previous call, during the quarter we were awarded a 70-mile, 765-kilowatt project. Construction began on that product in the second quarter and we expect this to have a positive effect on this segment's earning potential for the balance of the year. We're seeing an increasing number of opportunities in the market, but competition remains strong. We expect the industry fundamentals to improve through the balance of the year as demand begins to eat away at current industry capacity. Our Oil and Gas pipeline segment had revenues of $293 million for the quarter compared to revenues of $327 million in last year's first quarter. We experienced a significant slowdown in our Canadian business, seeing revenues go from about $166 million in last year's first quarter to $75 million in this year's first quarter. With the exception of the one project I spoke about earlier, which is now substantially complete, our Canadian EBITDA would have been slightly positive despite the significant decline in revenues. While we don't expect a significant improvement in revenues in Canada over the coming quarters, we expect them to be EBITDA positive for the balance of the year. Excluding Canadian results, our Oil and Gas business experienced revenue growth of 35% and EBITDA margins in the mid-teens. We expect Oil and Gas revenues to dramatically ramp over the coming quarters, and our current guidance assumes no further project awards in 2016. We have now started construction on the Waha projects and we're happy to announce that yesterday afternoon we received the Presidential Permit for the Trans-Pecos Pipeline. We also expect to start our work on the Dakota Access Pipeline this quarter. These are both important catalysts for our business. We continue to focus on Mexico as a growth market and we're pursuing a number of opportunities. Oil and Gas backlog was slightly down sequentially due to timing of contract signings. Virtually all of our current backlog in this segment will be completed in 2016 and we expect backlog at year-end to exceed current levels. I continue to be surprised by the level of visibility in this segment for years to come. We are in great shape relative to backlog in 2016. We believe 2017 is going to be even better based on verbal commitments and awards, and we are in negotiations and dialogue on projects that will be built all the way out into 2019 and 2020. This level of activity is offsetting the weakness in the shales due to commodity prices and giving contractors ample time, years, for commodity prices to rebound. It's important to note that we expect many contractors that don't have exposure to these large jobs to struggle over the next couple of years, creating further opportunities as commodity prices rebound and shale activity starts to ramp. To recap, we had an in-line first quarter that could have and should have been better. Our Communications segment is growing and we have solid opportunities related to home installations, gigabit expansion and wireless services. We're in the midst of a significant ramp in Oil and Gas activities and are confident that that growth will be long-lived. Our Power Generation and renewable business should have a good year, building on significant improvement in 2015. And finally, we are hopeful that we will soon see a dramatic improvement in our Electrical Transmission business and get that business back to historical levels. I'd also like to take this opportunity to thank the men and women of MasTec for their commitment to safety, their hard work and their sacrifices. Our people are our most important asset, and it's because of them and the opportunities that they've created that I'm so bullish about our future. I'll now turn the call over to George for a financial review. George.
George L. Pita - Chief Financial Officer & Executive Vice President: Thanks, José, and good morning, everyone. Today, I'm going to cover first quarter 2016 financial results including cash flow, liquidity and capital structure as well as our second quarter and full-year 2016 guidance range views. As Marc indicated, discussion of our financial results and guidance will include non-GAAP adjusted earnings and adjusted EBITDA, and reconciliations of all non-GAAP measures can be found in our press release, on our website or in our SEC filings. Consistent with our prior call, when addressing our first-quarter 2016 performance, first quarter 2016 adjusted results exclude the impact of approximately $4 million or $2.4 million net of tax in restructuring costs related to our Western Canadian Oil and Gas and Electrical Transmission operations. These costs comprised employee separation cost, lease terminations and other restructuring cost as we reduced the overhead expense structure in these operations. We expect to incur somewhere in the range of $1 million to $2 million in additional restructuring cost in the second quarter as part of expected completion of these activities. Here are some highlights regarding first-quarter 2016 performance. First-quarter 2016 revenue was $974 million, which in total was slightly above our expectations. We exceeded our revenue expectations in the Communications segment and underperformed in the Electrical Transmission segment. Communications segment revenue and adjusted EBITDA exceeded expectations, primarily due to increased revenue levels, while Electrical Transmission segment revenue and adjusted EBITDA underperformed due to the impact of a $15 million negative project margin on a large transmission project. First quarter adjusted EBITDA was approximately $54 million, in line with our guidance range of $50 million to $55 million, despite the shortfall in Electrical Transmission segment results, primarily due to better-than-expected adjusted EBITDA performance in our Communications segment. First quarter 2016 adjusted diluted earnings were $0.02 per share, above the guidance range of breakeven to a loss of $0.03 per share. This improvement was primarily due to lower than anticipated levels of depreciation and amortization expense as well as slightly lower levels of interest expense. We ended the first quarter of 2016 with no change in overall debt levels, which remained flat at about $1 billion. Cash flow from operations was approximately $16 million, which was generally in line with our expectations and reasonable given $54 million in adjusted EBITDA during the quarter, with our first quarter 2016 working capital metrics in good shape. Keep in mind that a comparison of first quarter 2016 versus 2015 cash flow from operations is an apples-versus-orange type comparison because first quarter 2015 cash flow performance disproportionately benefited from a working capital reduction related to a large sequential revenue reduction from fourth quarter 2014 levels, while first quarter 2016 revenue approximated the previous quarter's level. We continue to expect that our full year 2016 operations will generate excess cash through either debt reduction, share repurchases, or M&A activity and expect that much improved 2016 earnings levels, coupled with similar levels of 2016 year-end debt will generate significant year-over-year improvement in our 2016 year-end leverage metrics. And this improvement is forecasted despite increased levels of working capital investment expected with our forecasted 2016 revenue growth. It should also be noted that in an effort to provide better clarity, we've added a new line item to the income statement in our first quarter filing called Equity and Earnings of Unconsolidated Affiliates and reclassified 2015 prior year amounts, which were previously reported within the other income expense line item. This line represents the impact of our equity investments and the ownership of the two Waha pipeline joint ventures currently under construction, as well as Pacer acquisition, Western Canadian joint ventures in the process of liquidation. Lastly, during the fourth quarter of 2015, we indicated that we recorded approximately $4 million in charges in our income statement to reflect unrealized fair market value charges related to interest rate swap agreements entered into by our Waha joint ventures, to prudently fix the rate of project financing. During the first quarter of 2016, the joint ventures determined that these transactions qualify as effective hedges under GAAP and thus during the first quarter of 2016 and a go-forward basis thereafter, the impact of any unrealized fair market value gains and losses on these swaps are expected to flow through our balance sheet in the accumulated other comprehensive loss line item rather than impacting our income statement. Now, let me get into some more detail regarding our first quarter results. As I mentioned earlier, first quarter 2016 adjusted diluted earnings results were above our guidance range at $0.02 per diluted share versus our guidance range of breakeven to a loss of $0.03 per diluted share. Adjusted EBITDA was $54 million compared to our guidance range of $50 million to $55 million. First quarter 2016 revenue was $974 million, a decrease of approximately $29 million or 3% compared to the same period last year. Communications segment revenue increased approximate $42 million or 9% compared to the same period last year and this increase was offset by a $34 million decline in the Oil and Gas segment and a $30 million decline in the Electrical Transmission segment. Communications segment revenue increased approximately 9% to $512 million compared to $470 million for the same period last year. Communications segment adjusted EBITDA margin was 12.1% compared to 10.2% during the fourth quarter of 2015. During the first quarter of 2016, we recorded other income of approximately $10 million related to a cash settlement received during the quarter in connection with a previously acquired business. While we're bound by a non-disclosure agreement, we can say that the settlement involved a dispute primarily related to the realization of project receivables and work in process. Upon which we spent a significant amount of operational division time, effort and cost in attempts to monetize these assets. After extended, unsuccessful operational efforts, we then incurred considerable amounts of legal, professional and other expenses in connection with obtaining this cash settlement. All that said, even if the impact of this settlement is excluded, first quarter 2016 Communications segment adjusted EBITDA margins were at double-digit levels or 10.2% of revenue, which approximates our fourth quarter 2015 level. While this level was above our initial first quarter 2016 expectations, it is below our expectations for the balance of 2016, but we expect a further ramp up of Communications segment revenue and thus better leverage utilization of existing overhead to support this expected growth. As I indicated earlier, our first quarter 2016 Electrical Transmission segment results were negatively affected by the impact of a $15 million negative project margin on a large transmission project. The amount recorded during the first quarter primarily reflects unexpected geological conditions which impacted productivity during the first quarter and required an increased, estimated levels of labor and materials required to complete the project. This project is approximately 85% complete at the end of the first quarter. We believe amounts reported have captured the necessary cost to complete this project but our cost estimates are based on an estimated geological conditions which can only be truly determined at the point of construction. This project, which is now expected to result in an overall slight loss upon completion, has suffered approximately $30 million in negative project margins during the past two quarters, representing a major driver in the recent negative adjusted EBITDA trend in our Electrical Transmission segment. While this project has proven to be very difficult financially, we are on track to substantially complete construction on schedule in the fourth quarter of 2016. As expected, first quarter 2016 Oil and Gas segment revenue declined approximately 10% to $293 million, compared to $327 million last year. This decrease was due to lower levels of gathering line and related facilities services in our Western Canadian operations. In total, first quarter 2016 Oil and Gas segment adjusted EBITDA margin of 6.7% of revenue was slightly better than the 6.6% of revenue reported for the same period last year. And this was despite lower year-over-year revenue levels. First quarter 2016 results were negatively impacted by our Canadian operations, both due to lower revenue levels based on the decline in oil prices, coupled with a $14 million project loss on a project, which is 90% complete as of the first quarter of 2016. Excluding the impact of Canadian operations, the balance of our oil and gas operations reported strong first quarter 2016 revenue growth and adjusted EBITDA performance. This bodes well for our future expectations of 2016 performance in the oil and gas segment, as the future impact of Canadian Oil and Gas operation weakness is expected to lessen over the balance of 2016, given the seasonality of Canadian operations, coupled with the expected ramp up in U.S. long haul product activity over the remainder of 2016. As indicated in yesterday's release and filing, we began initial construction during the first quarter of 2016 on the two large Waha projects. We expect a significant ramp-up of construction activity on these projects during the second quarter of 2016, which will continue for the balance of 2016. We also expect to commence construction late in the second quarter on the Dakota Access Pipeline project. The combination of these projects is expected to create a significant increase in Oil and Gas segment operations through the remainder of 2016. Our top 10 largest customers for first quarter 2016 as a percentage of revenue were AT&T revenue derived from wireless and wireline services was approximately 20% and install-to-the-home satellite and security services were approximately 19%. On a combined basis, these four separate service offerings totaled approximately 39%. Revenue from Energy Transfer affiliates was approximately 18%. And this revenue pertains to several separate construction projects for Energy Transfer Partners and Sunoco Logistics. Duke Energy was approximately 4%, while Exelon Corporation, an unnamed fiber customer and Iberdrola Renewables were all at approximately 2% and Verizon, MidAmerican Energy, AGL Resources, and Enbridge were all at approximately 1% of revenue. Individual construction projects comprised 50% of our first quarter 2016 revenue, with master service agreements comprising the remaining 50% and this mix is generally in line with recent trends. As far as the major customer trends are concerned, as highlighted by the percentage of revenue during our first quarter of 2016, we had good growth in our combined of service offerings to AT&T in wireless, wireline fiber, install-to-the-home satellite and security services. It's important to note that all of these offerings, while falling under the AT&T corporate umbrella are managed and budgeted independently within their organization, giving us diversification within that corporate universe. In addition, while our expectation is that AT&T revenue growth levels during the balance of 2016 will increase further over reported first quarter 2016 levels, we also expect that our annual 2016 AT&T revenue concentration percentage will decline from the current first quarter levels due to the significance of the expected revenue expansion in our Oil and Gas operations during the balance of 2016. It should also be noted that first quarter 2016 revenue levels for Energy Transfer does not include any revenue in connection with the Dakota Access Pipeline contract previously awarded to us, but rather represents revenue related to several projects approaching completion for various Energy Transfer affiliates. As we indicated in yesterday's release, we expect Dakota Access construction to initiate late in the second quarter of 2016 and significantly increase during the second half of 2016, driving significant revenue expansion. At quarter-end our 18-month backlog was approximately $5.7 billion, compared to approximate $4.2 billion in the first quarter of 2015 and $5.7 billion at year-end. This represents a 35% increase over the same period last year's levels due to the impact of large long-haul oil and gas pipeline contract awards that we achieved during the latter part of 2015. As we have previously indicated, the current levels of Oil and Gas backlog for 2016 are unprecedented and we're in active discussions on various long-haul project awards that we believe will create significant backlog for 2017 and 2018. Regarding other areas of the income statement below the EBITDA line, first quarter 2016 depreciation and amortization expense was slightly better than our initial expectation at $39 million or 4% of revenue, compared to 4.2% of revenue for the same period last year. Interest expense for the first quarter of 2016 was also slightly better than our initial expectation and these items were the primary drivers of the improvement in our actual first quarter 2016 adjusted diluted earnings per share performance over our initial guidance. Finally, first quarter 2016 adjusted diluted earnings were $0.02 per share, compared to $0.07 per share last year and GAAP diluted loss was $0.03 per share compared to a loss of $0.08 per share last year. Now, I will cover cash flow, liquidity and capital structure. As we've previously noted, our long-term capital structure is solid, with low interest rates and no significant near-term maturities and we have an excellent and supportive bank group. We entered the second quarter with ample liquidity of $369 million and ended the quarter with essentially no change in our overall debt levels from year-end. As I indicated earlier, despite expected increased levels of working capital investment during 2016, associated with forecasted significant revenue expansion, we continue to expect that our full year 2016 operations will generate sufficient excess cash either for debt reduction, share repurchases or M&A activity, and expect that similar 2016 year-end debt levels, combined with anticipated improved 2016 earnings, will generate a significant improvement in our year-end 2016 leverage metrics when compared to 2015. Our first quarter 2016 accounts receivable days outstanding or DSOs were 74 days, compared to 68 days at year end and 88 days as of the first quarter of last year. This performance level is a 14-day improvement over last year and in line with our previously indicated expectation range for DSOs somewhere between the mid-to-high 70s. Our first quarter 2016 cash flow from operations was approximately $16 million, generally in line with our expectations and reasonable given $54 million in adjusted EBITDA during the quarter. As I mentioned earlier it is important to note that a comparison of first quarter 2016 versus first quarter 2015 cash flow from operations is an apples-versus-orange-type comparison as first quarter cash flow in 2015 disproportionately benefited from a working capital reduction related to a large sequential revenue reduction from fourth quarter 2014 levels, while first quarter 2016 revenue levels approximated our fourth quarter 2015 levels. Specifically, a major driver of the strong cash flow from operations reported during last year's 2015 first quarter was the working capital benefit of approximately $230 million in sequentially decreased revenue levels. This year's first quarter cash flow from operations did not have this level of impact. Regarding our spending on capital equipment, first quarter 2016 cash CapEx net of disposals was approximately $11 million. We anticipate that 2016 cash CapEx levels net of disposals will approximate $70 million to $80 million, with an additional $70 million to $80 million in capital lease and equipment financing for a total CapEx net of disposals of $140 million to $160 million. Moving on to our 2016 full year guidance, we're currently projecting annual revenue of approximately $4.8 billion to $5 billion with adjusted EBITDA of approximately $415 million to $430 million and adjusted diluted earnings per share of $1.37 to $1.47. This guidance level increases overall 2016 revenue levels by approximately $200 million, with no change in adjusted EBITDA and adjusted EBITDA margins approximating 8.6% of revenue. Current full year 2016 adjusted diluted earnings per share guidance is approximately $0.02 per diluted share higher than our last estimate, largely on the assumption of lower levels of depreciation and amortization, partially offset by a slight increase in interest expense. This guidance incorporates the impact of our first quarter 2016 results and performance trends, with increased 2016 revenue and adjusted EBITDA expectations in the Communications and Oil and Gas segments and reduced 2016 revenue and adjusted EBITDA expectations for the Electrical Transmission segment. Assuming that the large transmission project we discussed earlier is completed as currently estimated, we expect that Electrical Transmission segment adjusted EBITDA results for the balance of 2016 will improve and approach a break-even adjusted EBITDA level, leaving the segment with an adjusted EBITDA loss for the 2016 year. We expect 2016 annual interest levels will approximate $52 million and expect 2016 annual depreciation and amortization to approximate 3.4% to 3.6% of revenue. We anticipate our 2016 annual income tax rate will approximate 42%. And lastly, our estimate for full year share count for diluted earnings per share is about 81.5 million shares with 81.25 million shares for the second quarter. We expect to end fiscal 2016 with approximately 82 million shares outstanding. Turning to second quarter 2016 guidance, as we indicated in our release yesterday, our guidance estimate for the second quarter of 2016 reflects a broader range than we normally provide, given the short-term challenges associated with estimating the timing impact of large long-haul oil and gas project start-up activities during the quarter. We continue to estimate that second quarter 2016 revenue will range between $1.1 billion and $1.25 billion, with adjusted EBITDA in the range of $80 million to $95 million and adjusted diluted earnings per share in the range of $0.17 to $0.27 per share. In summary, first quarter results were slightly above our initial expectations, and we expect significant revenue and earnings improvement throughout the balance of 2016 as we begin executing on multiple large projects. We're also seeing increasing visibility with regard to growth opportunities for 2017 and beyond, and believe we're well positioned to take advantage of these opportunities. That concludes our prepared remarks, and I'll turn the call back to the operator for Q&A. Operator?
Operator: Thank you. We'll take our first question from Alan Fleming with Citibank.
Alan Fleming - Citigroup Global Markets, Inc. (Broker): Hi, guys. Good morning.
George L. Pita - Chief Financial Officer & Executive Vice President: Morning.
José Ramón Mas - President, Chief Executive Officer & Director: Morning, Alan.
Alan Fleming - Citigroup Global Markets, Inc. (Broker): José, you've been talking about Transmission improving for several quarters. And we know you have one large project ending soon and it sounds like you're being a little bit more cautious here until the market improves. But maybe just talk a little bit more about what's been so challenging in getting this business back to profitability even with the restructuring you've done. And how do we get comfortable that you've got this business right-sized to where it needs to be? Do you need to do something more significant, and have you even thought about exiting this business altogether?
José Ramón Mas - President, Chief Executive Officer & Director: Well, look, I think George alluded to it in his comments. We've got, over the last two quarters we've had one project that's faded by $30 million. I think that's been the largest driver of the issues that we've had in Transmission. Obviously, we went through all the issues with our internal investigation and a lot of it had to do with that group last year. So I think a lot of people's times, focus and energy from their day-to-day business unfortunately was spent doing different things. And we talked about the impact that that was having in our business and unfortunately we're still seeing the results of that. So I think we're doing a lot of the right things. We feel good about the projects that we're winning. We feel good about the opportunities that we're seeing, the level of opportunities that exists. But there's no question that we're tired of talking about it, we're tired of missing our numbers quarter-after-quarter. We were fully cognizant of the fact that the level in which we've said and a level in which we've said we're going to improve over the last couple of quarters we haven't executed on. That needs to stop and we need to perform. And there's really nothing else to say about it. It's time to perform in that business. We think we're getting there. And if we don't perform then, obviously, we need to look at what we do relative to that business to put ourselves in the best position to succeed as a company. We've got great opportunities ahead across all of our segments. We're very comfortable with where our business is headed. And we really don't have room to have anything drag us down and we get that and we understand that. And we're going to manage that effectively.
Alan Fleming - Citigroup Global Markets, Inc. (Broker): Okay. I appreciate that. Maybe just switch gears to Communications. As wireless starts to ramp and it seems like you have very good momentum in the install-to-the-home business. Maybe just talk a little bit about the potential of adjusted EBITDA margin here in Communications going forward. I mean, you've done a lot of work over the last 12 to 18 month to take cost out of the wireless business. So, how do we think about utilization versus maybe a year ago and where do you think you could be a few months from now as wireless ramps?
José Ramón Mas - President, Chief Executive Officer & Director: Look we're getting more bullish. We had a good quarter in Q1. I think as we think about the full-year now, we're expecting EBITDA margins to be higher than we did at this time in our last call. So, internally, we're seeing an improvement in those margins. We expect that margin, that improvement to stick for the balance of the year. So we're expecting nice margins, a nice uptick from 2015. That's a positive sign. We're very encouraged about the levels of activity that we're seeing across all of our businesses in Communication, whether its wireless, whether its installation opportunity, whether it's further wireline growth, it's a solid industry right now. A lot of good things are happening. We're pretty excited about it and I think – I really think we're starting to perform and execute at a very solid level there.
Operator: And next we'll go to Alex Rygiel of FBR Capital Markets.
Alex J. Rygiel - FBR Capital Markets & Co.: Thanks. Good morning, José and team.
José Ramón Mas - President, Chief Executive Officer & Director: Hey, good morning, Alex.
Alex J. Rygiel - FBR Capital Markets & Co.: The first question, your first quarter results, clearly if we were to back out sort of those two problem projects, your core results outperformed your internal expectations which is great. How come your full year guidance didn't get raised, because I would have thought that with that outperformance of the core business in the first quarter, if you rolled that forward in 2Q and beyond that that possibly could have caused you to raise your full year numbers? Are you just being conservative here?
José Ramón Mas - President, Chief Executive Officer & Director: A couple of things, right. I think, one, when you look at our Transmission business, what we've been saying over the course of the last few quarters is we expected 2016 to be slightly profitable, mid-single-digits. So, if you think about a $15 million positive Transmission EBITDA year now, we show up with a $23 million EBITDA loss in Q1 that by itself is a $38 million swing. So, in essence, by being able to absorb that swing, in theory, we are increasing our overall numbers. That $38 million has got to come from somewhere else and we think we're delivering that to really stay flat. With that said, when we look at guidance, especially in the Oil and Gas market, all of our revenue expectations for the year are already in backlog. We've made I think conservative assumptions relative to how much of that backlog we're going to be able to fully execute in 2016. So, if things go our way, we absolutely have hopefully some room and we'll be outperforming our numbers which has been our expectation and where we wanted to get back to for a long time. But we still have – the proof's in the pudding and we know that and we've got to start delivering. And as we do then I think you're going to see an improvement in numbers and hopefully in a place where we can start seeing upticks rather than either holding flat or being the other way.
Alex J. Rygiel - FBR Capital Markets & Co.: And then as it relates to the Oil and Gas business, obviously, you've got a lot going on this year, a lot of new projects starting in the short-term. A lot of bids for a lot of the large product work over the coming years. So as it relates to sort of the second quarter, is Waha and Dakota – are they sort of incrementally helping the profitability and the margin in 2Q, or will we not see that benefit until 3Q? When will each one of those projects be completed? And as it relates to all these additional awards, are any of them included in Mexico?
José Ramón Mas - President, Chief Executive Officer & Director: So, obviously, Waha and DAPL will both have a positive effect on Q2. The extent of that affect will really depend on how quickly we can ramp, especially on the DAPL project which is a later-starting project in the quarter. No question that they will both have a much more dramatic impact to the third quarter than they do to the second quarter and I think we'll see some of that trend continue into Q4. What we said on today's call is when you look at our backlog number for Oil and Gas; we expect almost all of that to burn off in 2016. So I think that kind of gives an indication of when we plan to complete those projects. And I think the other thing we said was we expect to end the year with higher backlog levels than we currently have, which I think is a testament to how solid we feel about the prospects and where we stand relative to those prospects and what we know. Currently in saying that, Mexico plays a role, but I think we're going to see where it's been a long sales cycle, longer than than probably we would have expected or hoped, but we're chasing a lot of opportunities down there. They're very large projects, very good projects. We're confident we're going to win our share and when we do I think it's going to have a further dramatic impact to the numbers that we're talking about. And, again, I think it all adds to why we're so bullish and the level of excitement that we have around that business for a long, long time.
Alex J. Rygiel - FBR Capital Markets & Co.: Very helpful. Good luck.
José Ramón Mas - President, Chief Executive Officer & Director: Thank you, Alex.
Operator: And next we'll go to Matt Duncan with Stephens.
Matt Duncan - Stephens, Inc.: Hey, good morning guys.
José Ramón Mas - President, Chief Executive Officer & Director: Good morning, Matt.
Matt Duncan - Stephens, Inc.: So José, I was hoping we can start by talking a little bit more about the increased optimism in Communications and you talked about this some in your prepared remarks, but can you maybe tell us where versus wireline, wireless, and installation services, where among those three are you more positive? Is it all three of them or is there one in particular that's really picking up for you.
José Ramón Mas - President, Chief Executive Officer & Director: Look, our installation business was up 25% in the first quarter. Our wireline business was up 31% in the first quarter. And we're saying we expect our wireless business to be up double digits on a full-year basis. So across the board, we're seeing excellent results. We're seeing great opportunities. You know, obviously, especially from where we are from a total revenue perspective, we may have bigger opportunities from a growth perspective and installation and in wireline than we do in wireless, but they're are all healthy markets. Wireless is improving, visibility in wireless is improving. And I think longer-term outlook in wireless is improving with the advent of 5G which we're really not going to see in 2016. That's going to be a 2017 and beyond which I think is going to be great for the industry. I think wireless local loop gets started in 2016, but the reality is the big impact and the positive impact of that is going to be in future years. I think we've seen a lot of carriers. Some, in particular, that have delayed some of their strategies and I think we're going to see a nice uptick as the years come. So a lot's written about wireline. Everybody is following that, everybody is tracking it, great opportunities there. I think that the strength of our installation business has quite frankly somewhat surprised us. We're seeing a lot of opportunities related to that, both within our existing customer base and others. And, again, it's almost across the board. It's performing very well right now.
Matt Duncan - Stephens, Inc.: Okay. So it's safe to say then that that segment's probably a double-digit grower this year, it sounds like given the growth rates you're seeing in each of the three pieces.
José Ramón Mas - President, Chief Executive Officer & Director: Yes.
Matt Duncan - Stephens, Inc.: Okay. All right. And then the other thing I had is just on the DAPL project. Can you give us some idea where in this quarter you expect to actually begin construction? I think it has been sometime in May last I checked. I just don't know what the current expectation is there. I know the contractor that's building the storage for that job has already begun construction on that piece. And is the completion date for that job still by year-end? It sounds like it must be if you're going to work off most of the Oil and Gas backlog that you've got there.
José Ramón Mas - President, Chief Executive Officer & Director: What we tried to do with guidance was give ourselves room. We've been through this before where you're starting a project, you expect to be on it, you get delayed a week or two and we really tried to take a very hard and conservative view on that. Our expectations haven't changed. We expect to start this month. We expect to be substantially complete by yearend. And we're tracking towards that, but we're buying ourselves a little bit of room in case something unforeseen happens.
Matt Duncan - Stephens, Inc.: Okay. Thanks. I'll hop back in queue.
José Ramón Mas - President, Chief Executive Officer & Director: Thanks.
Operator: All right. The next we'll take our question from Noelle Dilts with Stifel.
Noelle Dilts - Stifel, Nicolaus & Co., Inc.: After this very strong growth you saw in install-to-the-home, can you help us understand if that's coming from new geographic territories or more work in your existing territories? And then on their conference call, AT&T did talk about accelerating single truck rolls in the back half of the year, but given the growth that you're seeing, I mean, is there a way to think this as a benefit? Are you actually seeing a benefit from that? Can you just help us understand what you're seeing?
José Ramón Mas - President, Chief Executive Officer & Director: Sure. What we've said all along is we think AT&T is doing a good job with DIRECTV. They have big plans, obviously, to grow their customer base and expand their product offering. I think we're seeing a benefit to that. I think if they continue and they reach their goals, they're going to need a lot more technicians to be able to do what they want to do. We're going to play a role in that. We're not going to be the only ones that play a role in that, obviously, in their existing footprint. But we feel good about where we're at. We feel good about the level of work that we're going to enjoy. And we really don't expect much of a difference through the balance of the year. So, it's – like we've said in the past, we don't really expect that to affect us. I know we keep getting asked the question but I think we're demonstrating that it hasn't affected us and I think we feel good about it not really impacting our business in any significant way in the second half of the year and beyond.
Noelle Dilts - Stifel, Nicolaus & Co., Inc.: Okay. And then on the problem Transmission job, I know you're 85% done, but can you give us a sense of just how much remaining revenue is coming for the rest of the year just so we know how much is moving through the income statement at breakeven?
George L. Pita - Chief Financial Officer & Executive Vice President: Hey, Noelle, it's George. For the balance of the year, it's about somewhere in the neighborhood of $40 million to $50 million that's remaining.
Noelle Dilts - Stifel, Nicolaus & Co., Inc.: Okay. Thanks.
Operator: And next we'll go to John Rogers with D. A. Davidson.
John Bergstrom Rogers - D. A. Davidson & Co.: Hi, good morning. Can you hear me? (49:04 – 49:17)
Operator: Capital Markets. Just one moment. Go ahead Matt Tucker.
Matt Tucker - KeyBanc Capital Markets, Inc.: Sorry about that. I was getting static on my line. First wanted to ask about the AT&T DIRECTV merger. I think there has been some concern that cannibalized some of your work. But in prepared commentary you said you're actually seeing increased demand, I guess, stemming from that. So could you just provide a little bit more color on how you see that affecting your business and our outlook?
José Ramón Mas - President, Chief Executive Officer & Director: Sure. Again, we're very excited about the opportunities with DIRECTV and AT&T. We think AT&T is doing a good job relative to the sales side of DIRECTV. We think they've got big plans and to the extent that that they perform at their excitations, we think there's going to be plenty of work for everybody. I think we've demonstrated that in our results, and as we've said we don't really expect that to impact our business in any negative way for either the remainder of the year or beyond.
Matt Tucker - KeyBanc Capital Markets, Inc.: Great. And then I wanted to ask about the Dakota Access again. I'm sorry to beat a dead horse. You mentioned it is kind of the startup timing is a variable within your second quarter guidance range. And as Matt mentioned, we know that parts of it are under construction. What is causing the uncertainty at this point in terms of when your work starts up? Are there permits that are still needed or if you could just comment on that please?
José Ramón Mas - President, Chief Executive Officer & Director: Well, I think if – I'd like to refer back to Energy Transfer's call. They had their earnings call yesterday and they talked about receiving the full required critical permits on that job. Again, there's really – we have a very clear indication of when we expect to start. Again, we're being cautious. We've lived this before. We don't want to give a date and then something happens. And it's a week or two gets delayed for whatever reason you can imagine and it has a dramatic effect on our financial impact. So we tried to build in some cushion. We expect to start this month. We're on track to start this month. We're mobilizing to start this month. But, again, we're being cautious around being very specific around when and how much because it may or it may not change.
Matt Tucker - KeyBanc Capital Markets, Inc.: Great. Thanks, José.
José Ramón Mas - President, Chief Executive Officer & Director: Thank you.
Operator: And next we'll go to Jason Wangler with Wunderlich.
Jason A. Wangler - Wunderlich Securities, Inc.: Hey, good morning, José.
José Ramón Mas - President, Chief Executive Officer & Director: Morning, Jason.
Jason A. Wangler - Wunderlich Securities, Inc.: Was just curious -- you mentioned in your prepared comments about a couple more customers kind of in the install-to-the-home type businesses. Was curious if you could maybe even just give us some indications of what kind of products or services you'd be providing. Obviously, the Sprint stuff sounds kind of interesting obviously, and that's been going well. But just an idea of what those markets look like as you start to get into them.
José Ramón Mas - President, Chief Executive Officer & Director: I think the important part of the commentary is the fact that customers across the country are really starting to realize and I think recognize us as having a leading third-party – as being the leading third-party fulfillment company. Again, I think a lot of people are trying to differentiate their products through customer touching experiences, which I think is important and I think it's what we can fill in the market. We don't really want to get into specifics because I think a lot of the things are fairly new and innovative. And I think we'll be ready to talk about them as we deploy them in larger scale, so over the course of the next couple conference calls, really hope to share a lot more on that but we're not ready to do so today.
Jason A. Wangler - Wunderlich Securities, Inc.: Okay. That's fair. And this one may be a little bit early too, but just obviously with the work in Texas and the Waha starting up, how are you seeing the Mexico market develop actually in-country? Are you seeing anything going on there or just kind of your take on what's been happening in the last few months there?
José Ramón Mas - President, Chief Executive Officer & Director: Look, it's a fantastic market. It's going to be incredible. We've been working there – we've been there for a long time now. We're chasing a lot of opportunities. Obviously, the market's been disruptive with commodity prices. I think we've seen a shift in how work's going to get done there, but, again, we've been a very active participant, and I think it's going to bode well for us. I think we're getting really close, and we're hoping in the near future it's going to have a significant positive impact to our business.
Jason A. Wangler - Wunderlich Securities, Inc.: I'll turn it back. Thank you very much.
José Ramón Mas - President, Chief Executive Officer & Director: Thanks.
Operator: And next we'll go to Justin Hauke with Robert W. Baird.
Justin P. Hauke - Robert W. Baird & Co., Inc. (Broker): Yeah. Hi, thanks, guys. So, I guess, I just wanted to ask a question about the Oil and Gas margins and how to think about them in the second half. And really the reason why is with the change from the Waha business and that flowing through as equity income, I think that just flows through as income to your EBITDA in that segment. And so the mid-teens that you put up this quarter ex the charges, that would be one of your best margin quarters. So I'm trying to think about the second half. As that Waha stuff comes in, you get more of that income, plus you get the utilization. I mean, are we thinking EBITDA margins could be closer to 20%?
José Ramón Mas - President, Chief Executive Officer & Director: So, couple things. First, we're going to continue to have a Canadian business that's going to be a drag on overall EBITDA margins and we understand that and accept that. We're, again, longer term we're very bullish on the Canadian market and what it means for our company and the opportunities that are going to present themselves there. There is no question that as these larger jobs start and utilization levels pick up, that the opportunity for margin expansion continues. I didn't really follow you relative to Waha equity and things like that. The actual equity that we have on the project -- there's really no flow-through on financials there. That project actually won't start generating revenues until it's complete and it's collecting dollars. So, it's not affecting segment EBITDA, so that doesn't play a role in it whatsoever. It's strictly on the work that we'll be doing. Obviously, the construction work that we do for Waha will flow through our Oil and Gas business. So I think the first quarter was a great trend relative to how our business is performing. I think in spite of it being somewhat of a difficult market in some parts of the country, we performed really well. I think that we expect our performance levels to continue. Obviously, we're going to have a mix with Canada, so I don't know that we're targeting 20% EBITDA margins, but we are encouraged by where we're at. We do think the opportunity to improve is there, and I think it is an area where if we perform at the levels that we think, it should have a positive impact to our earnings and hopefully be a driver of an opportunity for us to significantly beat our numbers, because we're, obviously, not targeting those kind of margins and that's not what's embedded in our guidance.
George L. Pita - Chief Financial Officer & Executive Vice President: Yeah, so, again, the construction activity for the Waha projects that we're doing is within the Oil and Gas segment, and the operations of the Oil and Gas segment are not impacted by any earnings related to the joint venture which is in a separate line. And as José mentioned, we have a lot of work to execute in the second half. Right now we're looking at the second half of the year and the balance of this year conservatively until we get started and we get flowing on that work. There's certainly opportunity as we all know in long haul work to report better margins. But right now we're not forecasting that until we get further along and get on the ground and start seeing conditions and how much productivity we can get.
Justin P. Hauke - Robert W. Baird & Co., Inc. (Broker): Okay. That makes sense. Yeah, I guess the key thing is that the work you actually do on the Waha work -- that that flows through as normal segment income.
George L. Pita - Chief Financial Officer & Executive Vice President: Yes.
Justin P. Hauke - Robert W. Baird & Co., Inc. (Broker): Okay. So I guess my second question is just moving back to telecom. I guess I wanted to ask about Sprint and I know that they were a customer for WesTower and you've got some opportunities there to expand. They've been cutting their capital budgets as well. I'm just curious -- is that impacting you or where they're cutting their budget not really the programs that you're exposed to? Thanks.
José Ramón Mas - President, Chief Executive Officer & Director: Sure. Again, we expect our wireless business to be up on a year-over-year basis. We've talked about Sprint a lot over the course of the last year. We continue to believe that it presents a great opportunity for our company. We have a very good relationship with them and they've talked a lot about their network plans. Their network plans have not been as aggressive as I think we had initially expected. On their last call they talked about all of the network things that they plan to do over the course of the next couple years. They talked about beginning to receive a number of permits on a lot of the initiatives that they're starting, which is a great sign. But, obviously, Sprint, which we expected to be a larger driver of wireless growth over the course of the last year, has been slower to start. I think we don't have a huge anticipation for what they might or might not do from now to the end of 2016. But just based on their commentary and the permits that they're receiving and the plans that they have, I do think it's going to be a potential, very positive driver of growth in 2017 and beyond.
Operator: We'll go to our next question from Avondale Partners, we have Dan Mannes.
Daniel Mannes - Avondale Partners LLC: Thanks. Good morning, everyone.
José Ramón Mas - President, Chief Executive Officer & Director: Good morning, Dan.
Daniel Mannes - Avondale Partners LLC: First of all, a quick follow-up on the Communications side, margins ex the settlement about 10%. Given the higher, the growth in DIRECTV which I guess, I've assumed is a higher margin piece. Should we anticipate maybe some more benefit there or is there may be some offset as you're doing kind of these demos from the cost side? Basically, more broadly, how should we think about that as the mix is changing and we're seeing maybe more of the install business?
José Ramón Mas - President, Chief Executive Officer & Director: Look, again, we're pretty excited with our performance in the first quarter. We're expecting a margin uptick in that business relative to last year. So there's no question that on a full-year basis we now have a more optimistic view in our Communications business than we had going into the year. And we expect nice year-over-year improvement that I think is driven by the whole of the business. Obviously, that's inclusive of what's happening in installations but it's also inclusive of what's happening in wireline and in wireless. No question to your last comment, we are investing in that business both from a wireline perspective and an installation perspective. We've got a lot of growth markets there, a lot of areas where we're adding resources and there is some drag that comes with that, but I think over time it more than pays for itself and I think that's all inclusive in the margin profile that we're talking about for the year.
Daniel Mannes - Avondale Partners LLC: Makes sense. And the secondly on the Electric side, just listening to your initial comments, given some of the end-market challenges and some of the execution issues, should we think about you guys managing this maybe as a smaller business in the near-term, or are you still having challenges with overhead absorption? I just want to make sure I understand kind of your plan here. Is it to try to grow it back and cover overhead or is it maybe to shrink it down and make it a little bit more manageable?
José Ramón Mas - President, Chief Executive Officer & Director: It's a good question and I think what we're talking about today is saying, we're not going to chase revenue for the sake of chasing revenue and just trying to cover costs. I think we're going to right-size the business to the size of where we think we can be most effective. Obviously, that depends on market conditions and the market is evolving. The market is getting better. So I think we're going to reevaluate that on a go forward basis. But, today, our goal is to manage the business at the best size, in which we think we can execute and it probably means shrinking the business or running at a lower level than we historically had rightsizing it, making it profitable and then really taking advantage of the opportunities as the market improves.
Daniel Mannes - Avondale Partners LLC: That makes sense. Thanks.
José Ramón Mas - President, Chief Executive Officer & Director: Thanks, Dan.
Operator: And next we'll go to William Bremer with Maxim Group.
William Bremer - Maxim Group LLC: Good morning gentlemen.
José Ramón Mas - President, Chief Executive Officer & Director: Good morning, Bill.
William Bremer - Maxim Group LLC: Can we first go into pricing of what you're seeing primarily in the Oil and Gas segment? What is coming in the door now versus say six months ago? How is the pricing there?
José Ramón Mas - President, Chief Executive Officer & Director: Again, it's a big industry with lots of subsections, right. So we've got – you can't generalize, so obviously Canada is very different than what we're experiencing on long-haul. The long-haul market's great. It's been really good for a long time. Obviously, there's an enormous amount of demand for services, so we don't expect that to change. When you look at some of the tighter markets like Canada and maybe even some of the smaller gathering stuff, those are much tougher businesses, because people are really trying to keep their people busy and probably bidding things lower than they should be. We're lucky to be in a position today where we don't have to chase that, where we're in a different market and we can allow that to kind of play out. Again, we alluded in our comments to the fact that we do expect there to be attrition of contractors over the next couple of years. If you're not in a sweet spot in that business, it's a tough market. We think that's healthy for the market. We think it's healthy for us. And we hope to be able to take advantage of those opportunities as they happen.
William Bremer - Maxim Group LLC: The question really was really domestic on pricing there, if you're seeing the quarter on long haul.
José Ramón Mas - President, Chief Executive Officer & Director: Again, it's excellent.
William Bremer - Maxim Group LLC: Okay. We had a lot of weather issues in this second quarter. Is that going to be affecting any of the startups and how do you see that affecting the overall quarter?
José Ramón Mas - President, Chief Executive Officer & Director: No, look, we're starting – our start-ups – we started Waha. Again, we've talked a lot about that DAPL today and when we expect to start. So, now, we don't really expect to have much or any impact on the jobs that we're starting. And I don't think the weather pattern has been any dramatically different than what it always is.
William Bremer - Maxim Group LLC: Okay, great. Hey George one for you on CapEx. I think you said net of disposals in the range of $140 million to $160 million; if that's correct, can you give us a little break down of where you're making those investments?
George L. Pita - Chief Financial Officer & Executive Vice President: The majority of that investment would be – pretty typical with the way we've done in the past, but we'll see increasing investment in the Oil and Gas sector, given the strength that we're expecting both for balance of 2016 and then into 2017.
William Bremer - Maxim Group LLC: Okay. Thank you.
Operator: And next we'll take Chad Dillard with Deutsche Bank.
Chad Dillard - Deutsche Bank Securities, Inc.: Hi, good morning.
José Ramón Mas - President, Chief Executive Officer & Director: Hey, good morning.
Chad Dillard - Deutsche Bank Securities, Inc.: So, just wanted to dig into the install-to-home growth this quarter. You guys did about 25%. Just want to understand whether it was more coming from the DIRECTV installations, the AT&T going from DIRECTV or is it actually market expansion? And then also, I know that AT&T talked about DIRECTV subscriptions wrapping up in the second half of the year. And, again, you guys have put up pretty great numbers in the first quarter. So what I'm trying to understand is from here do you think you can actually accelerate that year-over-year growth through the rest of the year?
José Ramón Mas - President, Chief Executive Officer & Director: So, the first answer is it's a combination of everything. We saw growth across the board. We experienced really nice growth with AT&T as well in that business. So it wasn't like it came off the backs of others, it was actually diversified growth across a number of customers including our largest customer. We're very bullish on where the business is headed. Like we said earlier, we think DIRECTV has or AT&T has big plans for DIRECTV and if they can execute on that, there's going to be plenty of work for everybody and plenty of opportunities for us. So we're hopeful they're able to execute and we're here to support them.
Chad Dillard - Deutsche Bank Securities, Inc.: And then can I get your updated thoughts on Canada. I think in the last call you mentioned a 30% decline. Has that changed, and how far are we from bottom in this business?
José Ramón Mas - President, Chief Executive Officer & Director: I think now we're at the bottom. We've taken a very similar approach than what we just talked about in Transmission where we have a good presence in the market. We're not really chasing work for the sake of keeping our people busy. We've got good customers that we're supporting that are going to allow us to stay in market and have a good presence there. And as the market comes back, I think we're going to be in a great position because I think a lot of people – again I think it's going to be a lot of the same things where we're going to see a lot of contractors and a lot of vendors go away. And as the market comes back, I think it's going to be a less competitive environment that will give us an opportunity to actually have a better business long term than what we had in the past.
Chad Dillard - Deutsche Bank Securities, Inc.: Thanks. I'll jump back in queue.
José Ramón Mas - President, Chief Executive Officer & Director: Thanks.
Operator: That is all the time we have for questions today. I'd now like to turn the call back over to José Mas for any additional or closing remarks.
José Ramón Mas - President, Chief Executive Officer & Director: So this concludes our first quarter call. Really want to appreciate everyone's time and spending it with us today and we look forward to updating you on our second quarter call. Thank you.
Operator: And that does conclude today's conference.